Operator: Good day, ladies and gentlemen. Welcome to the Q4 2019 Investors Call. I would now like to turn the meeting over to Ms. Aurora Davidson. Please go ahead. Ms. Davidson.
Aurora Davidson: Thank you very much. Welcome to the fourth quarter and annual 2019 investor conference call of Amerigo Resources. I’m Aurora Davidson, President and Chief Executive Officer. Before we begin the presentation, let me caution you that our comments and discussions will include Forward-Looking Information within the meaning of applicable securities legislation. Forward-looking information will include, among other things, forecasts and projections about our copper production for the year which involves known and unknown risks, and strategies and other factors that may cause actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. We direct you to our press release issued on February 19, 2020, on our other documents filed with the securities authorities in Canada, including our annual information from under the heading Description of the Business Risk Factors. This documents describes the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflected in the forward-looking information and the material factors that could cause actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. Well, having left the formalities behind. I will start by briefly recapping the 2019 results and then present an update of where we are at now and what we're doing about it. All dollar amounts in this presentation are U.S. dollars. 2019 was not a good year for Amerigo on various fronts. Copper production of 19.3 million pounds produced from fresh tailings and 38.9 million pounds produced from Cauquenes were below budget, below guidance. And 10% below 2018’s production from the same sources of material. Annual molybdenum production of 1.4 million pounds was also below expectations and 25% lower than in 2018. Cash cost increase to $1.82 per pound compared to a cash cost of $1.56 per pound in 2018. And the Company posted an annual net loss of $9.4 million, which is a loss of $0.05 per share. 2019 was not an easy year for Chile either. In October, it faced massive social protests over economic inequality. Chile without any questions one of the most politically and economically stable developing countries. But there are visible differences between people who are doing well and those who are not. Well, the protest does not affect our operations directly. They had a big social impact, and have led to a national polybasite to be held on April 26th of this year, to ask voters if they want a new constitution, and whether they wanted to be drafted by a constitutional convention or a mix convention, including elected citizens. A second vote will take place in October the 25th to elect the members of the constitutional convention, and a third vote would accept or reject the new constitution after it is drafted, which is expected to occur no later than March, 2022. However, there were also very positive aspects of the Company's performance in 2019 and some of these will continue to have a positive event impact in 2020 and subsequent years. First, I will mentioned that MVC operated in 2019 with zero accidents and zero loss days. This is a significant operational metric or any organization and for a mining company. In 2019 MVC signed a three year collective agreement with its 208 plant workers without any days lost to strike action and at a lower cost than other mining companies, we were also able to refine as a company's remaining 56.3 million bank debt extended determine by two years to 2023 and lowering the amount of payments in 2020, 2021 and 2022. Despite lower production and lower copper and molybdenum prices, the company continue to generate operating cash flow and generated 9.7 million of cash flow from operations. To end elusive positives, the company further its relationship with Codelco by securing a flack processing contract at the MVC plant while Codelco completed construction of its new slack processing facility. In 2019 this contract represented an economic benefits of $3.8 million to the company. At the end of 2019 the Board of Directors asked me to step up from the role of CFO that I have held since 2003 to the role of CEO. I have been doing both roles until our newly hired CFO joins us mid-March. As I see it, there are three key areas to work on this year. First, we need to increase production at MVC and believe this can be achieved by improving plant performance. Second, we need to make the necessary adjustments at MVC to adequately respond to having less water available, most likely on a permanent basis and not just as a result of current drought conditions. And third we need to lower total costs and achieve a sustainable unit cost. Let's start by discussing production. Our first financial step was obtain more information and clarity under cautious debt starting in 2019 effective production at MVC. Even if in Q4 2019 management, MVC staff and consultants had sat down to identify plants bottlenecking initiative. We needed more information on to obtain it, we called in a reliable party to conduct a separate assessment. A comprehensive audit of the MVC plant was completed this month. It has identified various areas of opportunity to improve performance through low CapEx, high impact initiatives. The most significant area of opportunity is to conduct a complete hydrocyclone evaluation. There are hydro cyclone in the market then newer technology than the ones we have it in MVC and that can perform better in a low feed water environment. This is important because the audit has identified substantial fugitive copper losses from the primary cyclone systems, which are the cyclone use for fines and slime removal. To resolve this problem, we will proceed your contact crassest to evaluate or retrofit [gmail] (Ph) at MVC. Achieving improved primary cycloneing would reduce copper losses to the course fraction and allow for greater billable tonnages and therefore greater copper production. We will also be conducting laboratory test work in Canada in order to have precise and detailed information to simplify and optimize MVC disclosure in order to improve metallurgical performance. For example we want to identify optimal primary grind size for fresh for fresh and Cauquenes tailings, identify the optimum regrind size for the referred concentrate. Develop a copper concentrate grade versus recovery curve and identified the materials element in the multiconcept rate and identify how to remove them. MVC will also be modifying the current copper cleaner circuit to allow through concentrate exit streams. Under the current setup, all the concentrate produced at MVC exiting the application column which causes large circulating loads back to the rougher and limit recovery. The fresh and Cauquenes tailings have different flotation kinetics, they haven't been coinciding the same clearance circuit is affecting recoveries. The circuit will be modified by adding columns shelves, and mechanical shelves. MVC will increase the number of reagent addition points in flotation circuit and in the regrind to enhance electric rotation and liberated copper recovery. It will also rebalance our flotation properties using the plant in order to have more control of the rocker possibility. There are also opportunities of an operational nature which include improving process controls on classification equipment, decentralized metallurgical process control to improve operational support to the various areas of the plant and by portable equipment to obtain timely assays at different points in the plant. On the more circuit we will most likely be including an additional comp sale and looking at implemented nitrogen application in order to increase the [Moly] (Ph) concentrate grade.  The audits confirmed that MVC has inadequate volume of water at the current time to easily optimize its process plant and indicated the need to engage solid liquid separation and Realogy experts to review and optimize MVC’s water thickeners and provide additional expert information in respective water recirculation and utilization. MVC has started working with the help of the independent consultants to implement all the operational recommendations which are implementable and essentially no extra costs. Most of the recommendation includes CapEx which is roughly estimated to be $2 million to $2.5 million including lab work. As I mentioned before, our assessment is that these recommendations are low CapEx high impact. We are in the process of gathering information with the help of independent consultant to determine the actual CapEx timing and implementation flow of the recommendation. We need to be mindful that the water shorted equation will introduce a degree of complexity to the efforts of optimizing MVC plant. Let's now talk about water supply in Chile and MVC. Dry conditions have affected a number of miners from central Chile. For example Anglo American reported much lower production and was noted during Q4 2019 which was down by over 30% in the same period in 2018 due to the drought conditions according to Anglo the lack of water has significantly reduced plant performance. The MVC operation, and I'm talking about the plant and Cauquenes extraction together requires approximately a water supply of a 100 liters per second for each 10,000 tons per day, excluding the water that is reticulated by the three water thickeners that MVC has a plant. For a normal operation of 62,500 tons per day, this represent 625 liters per second, which is a lot of water. MVC has always been able to obtained his water through the water containing the fresh tailing through rain water that was starting [indiscernible] and through water rights to local rivers. Things have gradually changed as a result of declining rainfall in the central area of Chile in recent years and more dramatically due to severe drought in 2019 when it only rained 124 millimeters of water compared to a normal year that has rain of 410 millimeters. The situation has affected Tinton as well, which has gradually been increasing the density of its tailings from 48% to 55%. The substantial reduction in rainfall in 2019 had a negative impact on the water reserves in Colihues, which reached an all-time low of only 200,000 cubic meters in November of 2019. To increase water availability, MVC has undertaken various initiatives and projects. One project was completed at the end of 2019 at a cost of $300,000, and improved pumping stations, and included improved pumping stations to increase the supply of water to MVC from adjacent rivers by 200 liters per second. Another project entails the purchase and installation of additional metal piping to increase water reticulation capacity from the water thickeners at a CapEx of $1.9 million, which is ongoing and is expected to be completed at the end of April. This is expected to provide an additional 130 liters per second of water. This measures have been carried and/or are being carried out satisfactorily increasing the discharge solid from MVC to Karen, to 59% increasing the amount of water recovered for us of the plant and also allowing MVC to redirect the water to replenish water levels in Colihues to one million cubic meters.  The water projects however, have increased below to the MVC water thickeners. MVC knew about it, and made modifications to the thickeners so that they could receive this additional load. However, despite havening followed their recommendations of the equipment supplier the changes made the thickeners have negatively impacted their operation, causing repeated investments in recent weeks, which had forced MVC to stop the plant fully or just treat fresh tailings while the thickeners were being put back online. This has had a negative impact on production, particularly in the current month of February. To avoid further damage to the equipment in the thickeners during the next month we will need to be upgrading them with lower feed tonnage, which will impact on a lower recovery of water and lower processing from Cauquenes. In order to return to the desired condition where the thickeners can operate with greater tonnage, it will be necessary to boost the drive and lead systems of the thickeners and the necessary parts have a led time of the past months. The appraisal problems with thickeners forced MVC to adjust Cauquenes processing rates to 40,000 tonnes per day through May estimating going up to 50,000 tonnes per day in June. If rains levels normalized in April and May which is the start of the local rain season. Under these conditions, annual production from fresh tailings and Cauquenes would be approximately 55 million pounds to 60 million pounds excluding any effects on plant optimization initiatives. The forecast also excludes further plant stoppages, which in theory are not expected to occur given the lower processing rates that I have mentioned above. Finally, let's discuss costs. As I mentioned earlier, cash cost in 2019 was $1.82 per pound under two most significant components of cash costs were power costs, which was $0.56 per pound, and smelting and refining costs or TCRCs at $0.34 per pound. In 2020, as a result of industry benchmark TCRCs will be lower at $0.29 per pound, and power costs are estimated to also be lower at $0.48 per pound as a result of lower contractual supply rates. In 2020, lower power and TCRCs of $0.13 per pound, will represent approximately $7.6 million in lower cost at a current 2020 production forecast.  Annual cash cause forecast for 2020 is $1.63 per town, but is focused to the higher in Q1 at $1.87 per pound and Q2 $1.57 per tonne in Q4. We believe such further cost reductions are required including labor and MVC, particularly to pay for the $2 million to $2.5 million plant optimization. Year-to-date, we're seeing lower actual cost and budget in January our cash cost was $1.54 per pound, compared to budget of $1.83 cents per pound. January, cash costs still included slag by product credits. adjusted cash costs for January without the slag by products was $1.61 per pound. Our 2020 cash projections based on the scenarios and assuming a copper price of $2.59 per pound for March onwards. Show a very tight checkbook in the first half of the year, which will require us to use the existing reserve account in March to make debt on principal payments of $6.4 million. The cash projections indicate our ability to make the September debt payment and also replenish our reserve accounts by year end. Under these assumptions we have limited 2020 standing CapEx in the year of approximately $2.2 million, essentially to pay for the water project, and have also assumed that the plant optimization CapEx estimated at $2 to $2.5 million would be paid through other operating cost reductions at MVC. In short 2020, is a challenging year, but we're working hard to make the necessary changes to reduce operational risk. Needless to say, we cannot predict the short-term cover price behavior with Mackenzie anticipate that global refined copper consumption will grow 1.8% this year, under latest price forecasts are 2020 is $2.81 per pound, under which at current production and cost forecasts we will end the year with approximately $15 million $17 million cash. And MVC is a good solid asset. It has been in operation for 27 years. Most of them uncover prices substantially lower than today's. We have a long-term Contract with Codelco for at least another 17 years and a solid relationship with them. We require very little CapEx going forward, have a manageable debt and proven operational resiliency to survive from market cyclicality. In the previous 2005 to 2008 and then 2011 to 2012 Amerigo paid $47 million in dividends to shareholders, and we expect to return to that capacity when copper prices stabilize at higher levels. That is the extent of the presentation and we are opened to questions.
Operator: Thank you. [Operator instructions] And the first question is from [Joseph Reagor] from Las Vegas. Please go ahead.
Unidentified Analyst: Hi Aurora, thanks for taking the questions.
Aurora Davidson: Hi Joe.
Unidentified Analyst: So a couple of things, probably more than my normal list. If the drought conditions continue through the rainy season, I know you can't really predict the future, but if that were to happen, what would production for the full year look like? Like, what is the low end if droughts continue? I know you guys revised didn’t assume you get rain in June. But if that doesn't happen, then what?
Aurora Davidson: Well, I think it's very difficult to answer that question right now because we have several things ahead of us that need to be resolved first. So we need to fix the thickeners and with fixing the thickeners allows us to increase some level of processing from Cauquenes. We also have to factor in, at some point in time, the improvements from the plant modifications that we have identified will have an impact on recovery. So I think that at this stage in time, we are cautiously commenting that for the time being we're assuming, that rain conditions could occur mid-year and allow us to improve the our performance in the second half of the year. But there were still those elements up in the air that really preclude it from making an educated assessment at this point in time as to what the year-to-date or their full year production would be under the same conditions. There are factors that will be affecting and will be shaping up in the following week and months that will have an impact on that projection.
Unidentified Analyst: Okay, fair enough. And also thinking on some of those comments you made about all these different initiatives you're looking at with the mill. Is it still reasonable to expect that if, let's say, rain conditions returned to what was normal two years ago, and all these initiatives get taken care of. Call it two years from now put the mine or could the operations still get back to that original goal of 80 million to 85 million pounds per year?
Aurora Davidson: We have no reason to say no. The assessment that we have at MVC was positive with a caveat that water conditions do have an effect. I think you have nailed it out in a very good way. If water conditions were not to be an issue, water supply conditions were not having an issue, I think that we have a substantial opportunity of improvement plant performance to levels that are aligned to the original projections that we had ahead of us a year ago.
Unidentified Analyst: Okay. And then, one final things, I think last year Cauquenes didn't really meet expectations on a grade basis as well. Are there any concerns that the resource grade that we are all assuming is still good might be a little bit on the high side, just based on the age of that estimate and erosion, et cetera. That have impacted that tailings since the time of the resources put together? Or is that, are you guys actively updating it and making sure that you know, you still expect the same kind of grade long-term there of their?
Aurora Davidson: Well, we have modeled in a very detailed way the mine sequence plan for 2020, 2021 and 2022. We are not seeing any significant indications of our review to those assumptions. Having said that, yes, we have seen historically that the performance has been - when you get to the annual performance, we have seen changes compared to perhaps the average assumption that were used in the technical model. I think that averages are always a bit of an enemy, because they present a situation that looks more stable and more linear than when you are actually looking at the localized information. But for example, in 2020, we are expecting and that has been factoring in our production assumption that grade will be a little bit lower in the second half of the year just due to mine sequencing, but that is already included in the production forecast for this year.
Unidentified Analyst: Okay. Well, obviously a lot of the stuff has been outside your guys control. You can't control the weather. You can't control copper prices. But, at least you guys are doing everything you can and that's appreciated.
Aurora Davidson: Thanks Joe.
Operator: Thank you. And the next question is from [John Polcari] from New York. Please go ahead.
Unidentified Analyst: Thank you. First question is on the total costs for all the incremental necessarily upgrades as well as the ongoing maintenance. What is the total CapEx for 2020, all-in, everything that conceivably has to be done on an incremental basis, plus the ongoing normal maintenance CapEx?
Aurora Davidson: Yes. Well, we mentioned that for the sustaining CapEx, at current time we are limiting the sustaining CapEx of MVC to the water recovery projects and that's $1.9 million. So, we originally had a higher CapEx approximately $3.4 million, $2.6 million that has been revised to just take care of the water projects, which have a cost of $1.9 million. The flange improvements have a ballpark CapEx of $2 million to $2.5 million. This is a very rough estimate. We are still working to secure quotes and to get to the more definitive information on that. So, you're talking about $4.5 million of CapEx in the year. The repairs to the thickeners are all within maintenance expenses. They're not CapEx driven, and there are estimated to be in the range just to be $300,000.
Unidentified Analyst: So how is it possible to reduce the sustaining ongoing CapEx to an amount of $1.9 million. This is normally somewhere around $3.4 million, $3.5 million on an ongoing basis. What gets sacrificed?
Aurora Davidson: Well, it's not a question of sacrifice. It's a question of what needs to be done every year. In the last year the substantial portion of a sustaining CapEx has been to build sump at Cauquenes and we don't have to build a sump this year. We don't need to build a sump next year. So, that liberates a substantial amount of dollars on sustaining CapEx budget.
Unidentified Analyst: So the sustaining CapEx number isn't particularly stable from year-to-year then?
Aurora Davidson: We have only work within the parameters of five million to 5.5 million, $6 million. But the lion's share of that in recent years has been for sump. So if you take out as part of the sump for $4.5 million, we suddenly have - the last year, we had sustaining CapEx in all other projects about $1.2 million.
Unidentified Analyst: And that involves deferring essential maintenance that would just get pushed out then you are saying?
Aurora Davidson: No, that does not involve a tackling or bringing on board several sustaining CapEx, projects and maintenance is an operational cost and maintenance is being carried out as needed as part of our operational budget.
Unidentified Analyst: Okay. Just educate me here as far as the actual percentage of money from the new tailings versus historic tailings. As time goes on, am I correct in assuming that the historic tailings would have become a greater percentage, but they don't appear to be moving up in terms of percentage or is that not the case?
Aurora Davidson: No. Certain tailing first actual amount of our production, last year 2018 they were 68% of production and that would be the normal that we would be seeing from a normalized preparation of Cauquenes in 2019. Because we had issues with recoveries on the Cauquenes fee production from - sorry tailings decrease from 68% to 56%. But I would say normally you would say 65% to 70% of our production is should be coming Cauquenes in a normal year.
Unidentified Analyst: And that would be a percentage - a ballpark percentage that would be not just for next year but an ongoing basis over the next number of years right that would be based on that substantial amount of tailings going back decades that percentage is probably as stable number for years to come would that be correct?
Aurora Davidson: That would be correct. Until Cauquenes is depleted. But yes. For the foreseeable future that would be normal number to expect.
Unidentified Analyst: Two other quick questions. On the cash cost as they declines over 2020. They do a flat line in the third quarter then pick up, what drives the increases from 151 to 157 in Q4?
Aurora Davidson: Those are unit costs and we have different projections of production on a month-by-month basis in the quarter. I mean they are very sensitive through the changes in production. I would say that total costs tend to be stable. It's just when production would vary, and probably so a little bit lowered in Q4 than in Q3 on current projections.
Unidentified Analyst: Okay. I know this is somewhat outside of the realm of your ability to answer, but when the proposed new constitution is implemented and the final vote occurs towards the end of the year. Do you envision a change in the tax regime possibly, it certainly wouldn't go down in light of somewhat of unexpected social unrest, would it be correct to assume that there might be a movement towards increased tax revenue from mining space?
Aurora Davidson: I think there is a possibility that that will happen. Well the new constitution would come into effect in 2022, but yes, there is talk about changes to the overall income tax rate in Chile. And there are also changes being discussed to the mining royalty scheme, which doesn't apply to our operations at MVC with the current wording of that new mining royalty tax.
Unidentified Analyst: Is the royalty regime as its set up now is the variable - royalty is for the length of the agreement, right? The termination has something like 15 years to run.
Aurora Davidson: I don't follow your question, are you talking about our agreement with Codelco?
Unidentified Analyst: Right. The royalty to Codelco that percentage of - the royalty payments vary with the price of copper that variable runs through. I assume the end of the relationship with Codelco as it stands right now right?
Aurora Davidson: Correct.
Unidentified Analyst: So there's no talk of raising the royalty or revisiting the royalty formula.
Aurora Davidson: No. I think that our agreement with El Teniente is totally separate of any changes that would happen as a result of legislative changes in Chile.
Unidentified Analyst: Okay. My very last question is the actual cash breakeven required for expenses, on an ongoing basis obviously the gross profits, the CapEx required, the interest expense, servicing the debt without tipping into - at the end of the year, after having dipped into the reserve and re-establishing it, by the end of the year what would be a ballpark breakeven price for copper that would cover again just on a total cash basis, CapEx, interest expense, debt amortization? What would be a range that would be required, would copper have to be closer to $2 or how much room for weather variability, et cetera could we assume. In today's conditions as they stand now with the -.
Aurora Davidson: Well I think I mentioned that under this condition we're basically talking about a copper price of 255 to 259 is very tight. Having said that, I think that this year we have a production profile that we don't want to have in subsequent years, we're making all the necessary effort to increase that and as our of production increase, such as our resiliency to whether the lower copper prices.
Unidentified Analyst: That 255 that's a cash basis, right? That doesn’t include any depreciation amortization et cetera that would be.
Aurora Davidson: That’s a cash breakeven point
Unidentified Analyst: That’s a cash breakeven point, 255 below that it would extremely tight. So is there a line of any kind other than the reserve fund that the Company could fall back on or as anticipated, with the banks in addition to the term loan financing, is there a talk about establishing some sort of a working capital line?
Aurora Davidson: We don't have those discussions with the bank now. I think that there is room to have those discussions initiated. We don't have those at the moment. We're working on the basis of not having additional sources of financing and making sure that operationally we can secure the cash flow to meet commitments and take care of fixing our plant issues through the initiatives that we have identified.
Unidentified Analyst: Is there a reason the Company historically never had even a modest $3 million or $4 million or $5 million line utilized or not just as…
Aurora Davidson: We had a line of credit of $20 million for a number of years and we never used it, we paid a standby fee on that. When we undertook the Cauquenes expansion, we canceled that line of credit because we were working with a different set of bankers and we financed our expansion and didn't set up a working capital line of credit.
Unidentified Analyst: Great. Thank you. Thank you for your explicit answers.
Aurora Davidson: Thank you.
Operator: Thank you [Operator Instructions] And the next question is from [Stephen Ottridge] from Vancouver.
Unidentified Analyst: Good morning, everybody.
Aurora Davidson: Hi Stephen.
Unidentified Analyst: The question is, my understanding is that El Teniente is going to be increasing its production later this year. And does that therefore mean an increase in new savings coming into the plant?
Aurora Davidson: We have a detailed plan production from El Teniente that we factor into our production forecast to accommodate for our fresh tailings forecast and we are not seeing that information, Stephen.
Unidentified Analyst: Okay. I was just curious about that, because presumably the water comes down the chute, when that is been reduced, is there a possibility that you are getting - there will be backups in the chute carrying the savings with the lack of water.
Aurora Davidson: Well, I think that that's a situation that also need to be monitored very closely to make sure that they don't fall into those conduction problems. Conduction of their tailings to MVC and from MVC to deposit in. Caren is an essential operational activity for them. So I'm pretty sure you're taking all the necessary precautions to ensure they don't have embankment.
Unidentified Analyst: Okay. Thanks very much.
Operator: Thank you [Operator Instructions] There are no further questions registered at this time, Ms. Davidson.
Aurora Davidson: Thank you very much. If we have no good questions, we will close our conference call. And we appreciate the following of the people that attended and we will be presenting again our Q1, 2020 results in about three months time.
Operator: Thank you. The conference has no ended. Please disconnect your line at this time and thank you for participation.